Operator: Good day, ladies and gentlemen, and welcome to the Shenandoah Telecommunications Second Quarter Earnings Conference. [Operator Instructions]. I would now like to introduce your host for today's conference, Adele Skolits, CFO. Please go ahead.
Adele Skolits: Good morning and thank you for joining us. The purpose of today’s call is to review Shentel’s results for the quarter and year ended June 30, 2013. Our results were announced in a press release distributed this morning and the presentation we’ll be reviewing is included on the investor page at our website at www.shentel.com. For those of you participating via the web, the slides will be advanced automatically. Please note that an audio replay of the call will be made available later today. The details were set forth in the press release announcing this call. With us on the call today are, Christopher French, our President and Chief Executive Officer, and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we'll conduct a question-and-answer session. As always, let me refer you to slide three of the presentation which contains our Safe Harbor disclaimer and remind you that this conference call may include forward-looking statements subject to certain risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you’re strongly encouraged to review. You’re cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statement. Also, in an effort to provide useful information to investors, we note on slide three that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures are included in our SEC filings. These reconciliations are also provided in an appendix to today's slide presentation. I'll turn the call over to Chris now.
Christopher French: Thank you, Adele. We appreciate everyone joining us this morning. The second quarter demonstrated strong financial performance, particularly in our postpaid, wireless and cable segments, and continued progress towards the completion of our 4G wireless network by the end of this year. On slide five you'll see the net income increase 41%, reaching $7.8 million compared to just under $5.6 million in the prior year. Revenues were $77.5 million in the second quarter, growing by 8.5%. Revenues increased as a results of wireless subscriber growth and the increased fees for data usage on smartphones. Additionally, cable segment revenues increased related to an increase in RGU count and higher monthly revenue per customer. Turning to slide six, we again had positive net wireless additions in our postpaid services with the number of total postpaid customers up nearly 1.3% over the yearend 2012 number and 4.4% higher than the second quarter 2012. We added 2,340 net postpaid customers during the quarter, reaching a total of $266,297. While year over year we saw a 12.12% increase in prepaid customers, for the quarter we experienced a net decline of $3,032 due to more stringent requirements for eligibility for the government-subsidized insurance program. Nonetheless, strong year-over-year customer and revenue growth led to a 20.6% increase in operating income for the wireless segment. At the end of the second quarter, 85% of our covered pops had access to our 4G LTE service and we remain on track to complete the remainder of our network by yearend. Cable segment highlights are shown on slide seven, all upgrades to the cable systems acquired in 2010 has been completed, [though fiber jobs] will continue to be installed throughout the rest of the year. Cable segment operating revenues increased 6% from second quarter 2012. Consistent with cable industry trends and our college market seasonality, we experienced a slight decrease in basic video RGUs but we did have good increases in digital video, high-speed internet and voice services. We ended the quarter with a total of 116,115 RGUs. Turning to slide eight, I just want to take a moment and pull the discussion back a bit for everyone. Shentel is at an exciting point in its strategic initiatives for cable and wireless. As most of you know, in the 2008 to 2010 timeframe, we made a series of strategic acquisitions primarily to expand the scope of our cable segment and diversify our business. These were good markets that we acquired but many of the assets were quite neglected by former owners. During the 2010 to 2013 period we've been investing a tremendous amount of resources in upgrading both our wireless and cable businesses. The 4G LTE upgrade we're currently doing on the wireless side is the biggest investment project in Shentel's history. That said, we're at the tail-end of this significant investment and we expect the capital expenditures will come down significantly in 2014. On slide nine you'll find some of the current key initiatives for our company. On the wireless side of the business, our top priority is to complete the 4G upgrade by the end of the year. We're on track to accomplish this and our team is doing a great job. This upgrade provides existing and new customers with an extraordinary network and as an organization we're focused on leveraging the upgrade to expand both our number of users and the average revenue per user. On the cable side of the business, we've largely completed a significant upgrade and we're focused on leveraging this investment and growing overall RGUs. Alongside technology upgrades we embarked on a unified brand initiative launched in 2012 which we are driving through TV, radio, print, direct mail and social media. We're pleased with the progress we made thus far and we'll continue to drive brand awareness in these markets. Finally, we continue to focus on growing fiber lease revenues in both the cable and wireline segments, leveraging the investments in our networks. We're very pleased with the second quarter results and the positive trends we're seeing in our business. We believe our strong financial performance and the pending completion of our network upgrades leave us well-positioned for growth. I'll now turn the call back to Adele to review the details of our financial results.
Adele Skolits: Thank you, Chris. I'll begin on slide 11. On this slide you that both operating income and net income for 2Q '13 had strong increases compared to the same quarter of 2012. Operating income increased over 30%, reaching $14.5 million. Net income for the quarter was $7.8 million, an increase of 41% over 2Q '12. Earnings per basic and diluted share for 2Q '13 was $0.33, up from $0.23 in the prior year. Looking at slide 12, adjusted operating income before depreciation and amortization or OIBDA for Q2 '13 was $31.3 million, up $2.8 million or almost 10% from Q2 '12. In order to better understand the force that's driving this growth, I've provided the OIBDA results by segment on slide 13. What you see from this table is that adjusted wireless OIBDA has grown by 9.5% and cable results have improved by more than 4%. So wireline segment's results is up 8.6% over Q2 '12 since the growth in fiber sales and retail rates is offsetting the loss of long-distance carrier access billings and the modest loss of wireline retail customers. I'll next go into the wireless and cable OIBDA changes in depth. On slide 14 I've analyzed the changes in the wireless OIBDA results between Q2 '12 and Q2 '13. Postpaid revenues continued to grow, increasing by $3.4 million as a result of the growth in our customer base and growth in data billing rates, the $10 smartphone fee we billed to 65% of our postpaid customer base in June 2013, up from 48% during June of 2012. In addition, the average number of postpaid customers in Q2 '13 was 4.6% greater than Q2 '12. Prepaid revenues grew by $2.8 million, primarily due to growth in the average number of prepaid customers of more than 15%, and the shift in the customer mix to higher-priced plans. The cost to support prepaid customers has grown by $900,000 both as a result of the 15% growth in average customers and an increase in the rate Sprint charges Shentel to support those customers. Also the implementation of 4G technology requires either fiber or microwave-based backhaul technology. This technology replaces the copper-based T1s we had been relying on for most of our 3G cell sites. In addition, we're paying more rent at the cell sites where we've upgraded to 4G. These two factors along with the increasing volume of data traffic and customer growth, drove growth in our network costs of $1.3 million in Q2 '13. Finally, acquiring prepaid customers involved additional expenses related to handset subsidies, commissions, marketing and other sales-related costs. And these costs grew by $1.7 million. Gross prepaid additions are up 21.7% over Q2 '12, driving the majority of this increase. On slide 15 are shown the components of the changes to adjusted cable OIBDA. High-speed data revenues have grown by $800,000 and voice revenues by $300,000 in Q2 '13 over Q2 '12, primarily as a result of a 9.8% and 21.4% increase in average customers respectively. Programming costs have increased by $300,000 as increases in the rates charged by content providers have more than offset the loss of video customers. Network costs have increased to support additional voice and internet traffic. Finally, turning to slide 16, as we discussed on last quarter's call, effective April 1, 2012, we completed the conversion of certain of our subsidiaries from C Corps to LLCs. This change resulted in reducing our tax rate to 39.3% in Q2 '13 from 42.8% in Q2 '12. This saved us an estimated $450,000 in Q2 '13. At this time I'll turn the call over to Earle to go into greater depths on some of the operating factors driving our results.
Earle MacKenzie: Thank you, Adele. Good morning everyone. I'm pleased to share with you additional positive details on the progress of our Network Vision project. I'm extremely proud of our team. As shown on slide 19, we currently have completed leasing and zoning on 501 of the 525 sites we are targeting for yearend. Construction has completed on 458 sites. We've launched 4G LTE on 394 sites and 800 megahertz voice on 404 sites. With this progress, 88% of our covered pops now have LTE or 800 megahertz voice service available. We remain on track to budget and we'll complete the project well before yearend, except for a handful of sites that will be delayed into next year by zoning or the need to move to a different tower. These last few sites will have minimal impact on our customers. Although the customers have been enjoying the benefits of LTE and 800 voice as we turn down each site, we plan to launch our local campaign to turn down our service in August. Slide 20 shows the continued growth of postpaid customers at the end of 2011. We ended the second quarter with 266,297 postpaid customers, an increase of approximately 4.4% in the past year. At June we had 397,669 combined postpaid and prepaid customers which is 19.3% of covered pops. I'll not spend time this quarter detailing top service plans, top devices and iPhone statistics, but we have made this information available in the appendix. Slide 21 provides more details on postpaid customer activity in the second quarter compared to last year. We added 2,340 net adds on gross additions of 15,184. Churn was virtually flat at 1.62%. We did see an increase in sales through non-Shentel controlled channels which includes the web. 5.9% of our postpaid base upgraded their phones in the second quarter, with 25% of those upgrades being done in Shentel-controlled channels. Gross billed revenue per user is shown on slide 22. The trend continues with good growth in billed revenue, up 3.4% or $2.08 from a year ago to $62.76. The data component has grown 8.3% and voice has decreased $0.31. The increase is primarily the result of more customers having a smartphone and paying the $10 smartphone fee. At June 30, 70% of our postpaid base had a smartphone. That's up from 65% and 59% having a smartphone at December 31, 2012 and June 30, 2012, respectively. As a result of higher gross billed revenue per user and the growth of postpaid customers, slide 23 shows that the quarterly gross billed revenue has grown 8.2% in the past year to $49.8 million. That revenue has increased 10.4% over the same quarter last year to $35.7 million. Shown are the items that reconcile to net revenue reflected on our financials. You see that bad debt has remained flat at $1.6 million and discount and credits decreased by $400,000. Management and net service fees totaled 20% of gross billed revenue less bad debt, discounts and credits. Sprint has notified us, as agreed in our last contract amendment, that effective August 1, 2013, the net service fee will increase from the current 12% to 14%, the maximum allowed in our contract. Moving to prepaid wireless on slide 24, we had an expected decrease in prepaid customers in the second quarter as Sprint and other prepaid carriers worked to weed out fraud and duplication in the subsidized prepaid phone segment. In the second quarter, as a result of these reductions, we had a net decrease of 3,032 prepaid customers. Since the yearend 2012, we've lost over 12,000 assurance customers but still have a year-to-date prepaid net adds of 3,195. At June 30 we had 131,372 prepaid customers, an increase of over 12% from the end of the second quarter 2012. This shows the continued strong demand for prepaid in our service area. Slide 25 shows the impact of decrease in the assurance customers with a spike in prepaid churn for the second quarter to 5.3%. For the decrease of assurance customers, we've enhanced the customer mix which results in an increase in average gross billed revenue to $28.16. Shifting to our cable segment, slide 27 shows the number of revenue-generating units or RGUs and the number of customers we had for the past five quarters. Once again this year we had a net decrease in RGUs in the second quarter due to the move-out of college customers in our Radford and Farmville, Virginia markets. In the second quarter 2012, including the loss of the college customers, we had a net decrease in RGUs of 1,513. This year we had a net decrease of only 461. In spite of the move-out, you see that we actually had an increase in both phone and high-speed internet RGUs as we continue to take share from the local telephone company. We now have 16,731 non-video customers, customers that purchase high-speed internet and/or phone but no video. That's an increase of almost 19% in the past 12 months. The net loss in the quarter was entirely in video RGUs. The students will return in August and the third quarter should reflect that positive bump. We obviously focus on growing the number of RGUs but we also focus on growing the average revenue per RGU and customer. Slide 28 shows both the increase in average monthly revenue per RGU and per customer in the past year. The increase is a combination of the video price increase to cover increased programming costs in the first quarter of 2013 and the mix of new or existing customers taking higher-priced services. In the past 12 months we've seen an average revenue per RGU increase 5.3% and average revenue per customer increase 9.1%. Slide 29 has the number of homes passed with each service and the corresponding penetration rate for each service. We have grown high-speed internet to 25.5% of homes passed and voice to 8.4%. We've seen a decrease in video penetration but an increase in digital penetration. Going forward, the digital penetration should increase substantially as we migrate current and new customers to our digital offerings. As discussed previously, we have begun the process of distributing set-top boxes and migrating some of our systems to all digital. We have just finished up the small markets of Crewe and Blackstone, Virginia and have about a thousand homes passed, and are starting in [Bedford], Virginia, one of our largest systems, with 26,500 homes passed, located just south of [Lynchburg], Virginia. Slide 31 summarizes our key wireline stats. We continue to see a decline in our regulated access lines but at a rate much lower than the industry. Our growth in DSL has slowed, with customers at the end of the second quarter just above where they were at the end of 2012. As the only terrestrial broadband option in our regulated telephone service area, we have likely penetrated virtually all of the current available markets. My final slide, slide 32, is our historical and expected 2013 CapEx spend. At this point we continue to see expenditures for 2013 at $125 million. To date we have spent or committed over $70 million. As I stated earlier, we are still on budget for Network Vision at $115 million spent over 2012 and 2013. If there is a shortfall in our 2013, it will be part of the $30 million of success-based spending forecasted in the budget. With the completion of Network Vision and the cable upgrades expected in 2013, CapEx for 2014 should be significantly less than the 2013 plan. We'll provide additional guidance once we've completed our budget cycle for 2014. I'll now it back over to Adele.
Adele Skolits: That concludes our prepared remarks. [Danielle], would you review the instructions for posing a question at this point?
Operator: Thank you. [Operator Instructions]. And our first question comes from Ric Prentiss from Raymond James. Please go ahead.
Charlie Castillo – Raymond James: Hey, it's actually Charlie sitting in for Ric. Thanks for taking the call. Sprint on their call had said that the June 30 IDEN shutdown would actually have a negative impact on CDMA churn in second half '13 due to enterprise customers who had mixed the CDMA and IDEN accounts, taking off their CDMA accounts as they migrate to other carriers. Do you think you'll have much impact from that in your region?
Earle MacKenzie: Charlie, this is Earle. I don't believe so. We have, you know, don't have a lot of the mega IDEN customers that Sprint was referring to. In our case, I think we feel pretty confident that the conversion has been pretty clean and shouldn't have much of an impact on us.
Charlie Castillo – Raymond James: Okay. And also in regards to Sprint, they made it sound like they won't really push hard in terms of marketing on a national level until maybe 2014 when their 4G network is more fully deployed. Again do you think that'll be much of an impact on your own second half '13 numbers?
Earle MacKenzie: Obviously we would like to have the national support of the rollout of LTE. We are significantly ahead of kind of Sprint in total, and that's the reason why we've decided to go ahead and launch our own local campaign which I think will be effective. But I don't believe that it will have a significant impact on our second quarter numbers the fact that they're not doing something nationally.
Charlie Castillo – Raymond James: Okay, guys. Thanks for taking the questions.
Earle MacKenzie: No problem.
Operator: Thank you. And our next question comes from Barry Sine from Drexler Hamilton. Please go ahead.
Barry Sine – Drexel Hamilton: Good morning folks. A couple of questions if you don't mind. First of all, on the prepaid, the I guess Obama phone roll-off. Is that something that's still ongoing? Might we see an impact on that into the third and even the fourth quarter? Or is that process pretty much wrapped up now?
Earle MacKenzie: Barry, this is Earle. Our understanding is that it is substantially finished at this point but that, you know, I can't tell you that there won't be additional impact. But as I mentioned in my prepared remarks, we've lost over 12,000 phones in the first half of the year and still ended up with net positive numbers. So I think the impact on the third and fourth quarters should be fairly small.
Barry Sine – Drexel Hamilton: So if I take that 12,000 impact out and look at the numbers that way, that's probably a better sense of what the underlying business is doing as a basis for modeling out 3Q and 4Q?
Earle MacKenzie: Yes. But remember, the first quarter of the year is always the strongest quarter for prepaid, so I wouldn't want to just annualize that number because I think that may overstate the expectations at the second half of the year.
Barry Sine – Drexel Hamilton: Okay. And also on wireless, in the appendix, the slides where you talk about some of the iPhone metrics, was a little surprised that the newest model, the iPhone 5, is such a small percent of the iPhone adds. I think it was 20%. Why -- and that's the only iPhone model that is 4G LTE capable. Why do you think that is and what implications does that have for your LTE and what changes might you make going forward to try and get customers to put more phones under your LTE network?
Earle MacKenzie: Well, you asked a lot of questions there in one question. I'll try to answer them all. If I missed something, just repeat them. As far as the iPhone 5 versus the 4, I think what we're seeing is that our customer base is price-conscious and the fact that they're able to buy the iPhone 4 at a significant discount to an iPhone 5 is part of that. The numbers that you're seeing there at the bottom though, just to make sure that you're clear, that's the base. That's not what we sold in the quarter. That's the entire iPhone base that we have. So obviously we've been selling 4's and 4S's for a lot longer than we have 5's. But -- so that predominant number of iPhones that were sold in the second quarter were the iPhone 5's. So we're continuing to move customers towards an LTE phone. We also, you didn't ask but I'll kind of add, we had a significant base of 4G WiMAX phones in our customer base. And we've been working with those customers and part of the upgrades that we've been doing is migrating those customers from the WiMAX to the LTE phones, because obviously if they bought a WiMAX phone, they probably are a higher data user than others. So we're making that effort. At this point, Barry, I don't have the numbers right in front of me, but I believe that we have about 55,000 to 60,000 of the phones that we have in our network on the postpaid side are LTE-capable phones.
Barry Sine – Drexel Hamilton: Okay, that's helpful. And then shifting gears over to the cable segment and specifically on video. If I think about kind of the strategy you talked about when you got into acquiring these properties, they were in pretty significant need of upgrade. Are they now all state-of-the-art digital video and video recorders and so on? You started out of a pretty low penetration, it doesn't seem like the needle is moving that quickly. You've already rebranded now. You've talked about in the call about some new market efforts. Where are we in kind of that upgrade cycle? And then also on the discussion of factors impacting video subscribers, in the past the fall seems to be a difficult time, obviously with the NFL season and then satellite having the NFL Sunday ticket, you don't. So, a lot of questions again.
Earle MacKenzie: Once again you've asked a lot of questions. I will try to answer them. As far as where we are in kind of the process, we are finished the physical upgrade, we have launched the new brand. We continue to do market research and surveying our customers. The good news is that we now have over 80% name recognition within our service areas. So, you know, and two years ago that was in the 40s. So we've doubled the name recognition, which obviously they're not going to buy from you if you don't -- they don't know your name. What we are finding though as we continue to do our market research is just the inertia of getting people to shift has been more difficult than we anticipated. You know, we are continuing to aggressively market. We're continuing to point out very specifically the advantages of our broadband and voice compared to the telephone company. And in that area, you know, I think we are making very good strides towards the industry averages. But remember, the industry has been offering voice and broadband for well over a decade, almost two decades; our system start-out was zero. And so we've had to move that needle quite a bit. On the video, we continue to struggle to take share from the satellite guys. They have an attractive offering. They do have the NFL tickets. We do believe that our digital conversion is going to help us. When you are looking at a digital -- at our signal over -- on a digital television but you have an analog service, it's not that appealing as it would be as you would get from the satellite. So as we are upgrading all of our customers or moving our customers towards that digital signal, I think they're going to get an improved experience. The other thing that we will be launching here in the third quarter is we're launching a multi-room DDR which will allow us to have, you know, once again close the gap between ourselves and the satellite guys as far as the expanded services that we offer to customers. So we are very aggressive in trying to stem the loss of video customers and turn that around, but continue to see very promising results in our broadband and voice.
Adele Skolits: And Barry, I would add to that, obviously in Q3 we would see the college customers moving back in.
Barry Sine – Drexel Hamilton: Okay. And then -- thank you, Adele. My last question just relates to your capital structure. If I think back prior to your getting into the cable business and then prior to the significant capital program for the 4G LTE upgrade, if anything, I would say you were pretty well under-leveraged. You've addressed that, you've made some very attractive investments, now you'll put some leverage on. But as you talk about, if I look at the outlook for capital spending going forward with those programs winding down, that probably declines pretty significantly, it probably becomes a very, very significant free cash flow generator again and get leverage worked down. If you get too under-leveraged, that's not to the benefit of equity shareholders. So again, I know, a lot of questions, Earle, but how do you kind of think about leverage and the right way to leverage and keeping that leverage ratio high enough so that it boosts equity returns?
Adele Skolits: Well, Barry, you may recall that in the third quarter of last year we restructured our existing debt deal. And part of that restructuring was two years of interest-only payments on that restructured debt. So we won't be significantly paying down debt here in the next five quarters. So that's part of the answer to your question. And even when we do begin to amortize over the five years beyond that, we are only amortizing about 50% of the debt. So we will still be carrying some significant amount of debt. We are just under two times levered right now, which I think is a good place to be. As you know, the average for the industry is about three times. And so we'll look at that relative to other opportunities we might have or returning phones to shareholders or what-have-you in the coming year.
Barry Sine – Drexel Hamilton: Okay. Nice problem to have.
Adele Skolits: It is.
Barry Sine – Drexel Hamilton: Thank you very much folks. Good quarter.
Christopher French: Thank you, Barry.
Operator: Thank you. [Operator Instructions]. And our next question comes from Donna Jaegers from D.A. Davidson. Please go ahead.
Donna Jaegers – D.A. Davidson: Hi. Thanks for taking the questions. On IDEN, I know you guys aren't exposed, but I was just curious if that accounted for any of the share -- any of the net add gain or any turbulence in the quarter.
Earle MacKenzie: This is Earle MacKenzie. The answer is very little. We had been working with Sprint over the last six to eight quarters in anticipation of the turn-down and had been moving customers over from IDEN to CDMA. We really didn't know what to expect in the second quarter, whether there would be a significant lift or not. But what we found was that there was really very minimal impact on our numbers in the second quarter from IDEN conversions.
Donna Jaegers – D.A. Davidson: Okay. And then can you just refresh us on what's going on with the competitive situation in wireless in your service territory? I don't know if Leap is in any of your service territory, so is that going to be a factor? And just refresh us on where you are market share wise versus AT&T and Verizon?
Earle MacKenzie: Sure. We do not compete against Leap or Metro in our service area. Our markets are a little smaller than what they're focused on. But we do obviously compete against AT&T and Verizon. And in most of our service area, T-Mobile has a reasonable network. Probably their network is stronger in our Pennsylvania part of our market than it is in the Virginia, West Virginia and Maryland part of our market. We continue to have a strong position compared to them. As I mentioned in our prepared remarks, our penetration is at 19 -- over 19%. That's about the same as Sprint nationally, not as high as Verizon and AT&T nationally. But I think if you look at parts of our network, we actually probably even have market share on the areas in the southern part where we have been the -- have been a competitor longer, and we're able to leverage our Shentel brand along with the Sprint brand.
Donna Jaegers – D.A. Davidson: Okay, great. Thanks a lot, Earle.
Operator: Thank you. [Operator Instructions].
Adele Skolits: I think that's it, [Danielle].
Earle MacKenzie: Thank you. I would now like to turn the call back to Adele Skolits for any further remarks.
Adele Skolits: Our Q will be released in the early afternoon hours today. And once again thank you for joining us. Please let me know if there are any additional details you'd like to see us include on future calls. My contact information is provided on the press release.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.